Operator: Good morning everyone and welcome to the Cresud's fourth quarter 2019 results conference call. Today's live webcast, both audio and slide show, may be accessed through the company's Investor Relations website at www.cresud.com.ar by clicking on the banner Webcast/Link. The following presentation and the earnings release issued yesterday are also available for download on the company website. After management's remarks, there will be a question-and-answer session for analysts and investors. At that time, further instructions will be given. [Operator Instructions].Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed notes in the company's earnings release regarding forward-looking statements.I would now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead, sir.
Alejandro Elsztain: Good morning everybody. We are beginning our conference call of the fiscal year 2019. We can begin the main event in the page number two. If we see the adjusted EBITDA for the company, it was almost ARS23 billion. That is 21% higher comparing to last year numbers. When we divide you the agribusiness segment to the rest, the agribusiness this year achieved ARS3.8 billion. And if we compare that number to last year, that was ARS2.6 billion. So we had a growth of 46% comparing year-to-year related to the agribusiness segment. And that is mainly explained by the sales of farms and a very good operational year that we are going to see in more detail little later.Talking about the net loss of the company, this year is a big net loss ARS28.5 billion comparing to a gain of last year of ARS19 million. And if we see the attributable to Cresud directly discounting the IRSA share that we don't control, it is ARS18.7 billion loss. The main explanation of that loss come from the changes in fair value of the investment properties in Argentina in the shopping center segment that we are going to see later. If we see the rest of the segment, majority of them are in much better situation.In this balance sheet, we had shares repurchase plan. We bought ARS600 million. That represents 2.6% of the capital stock that we did in the whole year. And recently we launched a new plan up to ARS300 million in August of this 2019. As you know, we have begun to adjust for inflation of the balance sheet and so the number that all reflected in inflation for more than 50% in the year.Related to the planted area, this year we did 242,000 hectares, a little decrease from the forecast because we were very tough in the planting area and that probably was one of the why the operation was very good. We were very strict on the windows of opportunity to planted area and that made us to have a gain operational all over the region. We achieved 800,000 tons of total crops. That is 50% more than last year numbers. We developed 9.3 thousand hectares between the three countries that we developed plant. The sales of farms was only achieved in Brazil, not in the other three countries at a lot of sales in Brazil we are going to explain later.The agribusiness adjusted EBITDA went up to $93 million. That is a 41% increase in dollar terms comparing year-to-year, big and the biggest of our history in dollar denominated numbers. The four countries farming just pure operational, we achieved $48 million. That is the almost 28% comparing to last year numbers in the operational. So three of the countries surpass budget, only one was a little below the budget. That was the case of Brazil, but a very small decrease in dollars. So it made a very positive number in dollar terms in the whole region. So related to Argentina rental, we had at 6.8% increase and this is adjusted EBITDA growth and related to Israel, 25% related that later we will explain a little more about it.We can move to page number three. And we can see the portfolio evolution. And here we can see the sales of farms. The three area between the column are the three sales of 2019 fiscal balance sheet and the last one in the right, it is the one that is going to be included in the next balance sheet, 2019-2020. The three that we did, there were two in Bahia, Jatoba II and Jatoba III, a small sale. As you remember, the strategy is to buy in big pieces and to divide it in small finance long-term and made a gain on that sale and that was we did two portions of Jatoba. Still, we remain a lot of the farm of that is still a lot of that farm, we have a lot of farm to be sold but we made a very big gain that we are going to see later. The gains we make in each transaction. And these are the sales.We sold a lot of, if you look at it, first is BRL173 million, the second is BRL8 million, the third is almost BRL60 million. So a lot of sales in Brazil, well-financed. There is a big discount between the present value and the nominal value. Here we make the calculation of what this means in present value and the internal rate of return we did in dollars because of the evaluation in Brazil from our times of purchase of BRL2 and grow into BRL4 per dollar made a return sometimes of 7%, 8% in dollars or sometimes 17%. But we are making a lot of gains we are going to show you later. In this last year, we make like BRL150 million gain between all of the three sales, talking about present value. Probably in the long term, we are going to be collecting will be bigger if we keep recollecting the amount of stock. This is adjusted by the soybean sacks, soybean bags. So the adjustment of the price is related to the price of the soybean. And we have a recent sale smaller. That is BRL20 million and that is recently done in a small stake in Jatoba II. So a lot of activity in this market in Brazil. In the rest, a lot of things under negotiation that were not closed now.We can move to next page and we can see what is the gain that we make every year when we show the sales. We sold $67 million in nominal value and we made a $60 million nominal gain. So the book value is close to zero compared to $67 million, only $7 million book value. So the majority of the gain comes in the Alto business the day we sell. And in the development of land we did, this year we grew our development in 9,300 hectare, 3,000 in Argentina and 2,000 and Paraguay, 4,500 in Brazil.If we move to planted area, the last year that we are closing today was highest in size between the four countries. We dropped a little between presentations because finally we planted a little less than budget. So there was a small decrease but we did a very good job. I think because of that some times in North of Argentina that we didn't plant or some other area that because of flooding or drought we decided not to plant. And because of that, the operation was such successful as we have seen before.So now we are going to introduce Mr. Carlos Blousson, that will explain what are the prices today on the market of the commodities.
Carlos Blousson: Good morning everyone. Thank you Alejandro. Let's go to the slide number six, commodity prices and global stocks. As we can see in the graph, we continue year-to-year with a trend of slow prices. We mainly see a price drop of 12% in soybean due to two factors. The first factor is the ongoing commercial war between United States and China, generating an increase in the U.S. soybean stocks of 22% in the stock consumption ratio, as you see in the in the graph down and to the left, provoking year-to-year fall in prices that decrease. But others second factor, the second factor is the swine fever in China. These provoke reducing the amount in China near to 10 million tons in the year because the decreased stock at the dates. And the demand of China coming to Brazil and Argentina provoked that increase, the prices related to historical compare with United States.When we see the corn price, the level was not as around in the soybean due to the fact that the world stocks remain constant with an increased demand. We are waiting the new MUNDI report this week to confirm a possible decrease in the production due to the late planting because of the rain. If this show some drops in the position, it may result in the level of potential increase in commodity price.Let's go to the next page, slide number seven, the record campaign in Argentina. As we can see in the bar graph, this was a Nino neutral year, generating rains about average and well distributed. In the past, there was a drought campaign with a low production. All these factors result on 31% increase improving the yields in the span and little planted area in the campaign 2018-2019. Wheat increased the plant area in 16% generation and an increase of the production to 19 million tons. Corn increased 9% the planting area and the production by 59% to 51 million tons, a record in Argentina. Soybean keep the plant served but improved yields due to the great weather conditions increasing production 60%.Next slide number eight, farming crops and cattle productions. While the increasing grain production due to the stable condition as mentioned before are increased area. In the region, we are expecting a production close 812,000 tons, increasing by 51.5% year-to-year, as mentioned in the comment before. Today, the regional harvest is down. There is only the [indiscernible] of the production level. Grain production was as we can see in the picture, the yields involved in positive manner in the region. The current yield grew by 50% from 5.5 tons per hectare to 6.3 per hectare. In the case of soybean, there was increase of 12% from 2.6% to 2.9%. In sugarcane production, you can see, observe there is an increase of 15% due to growing production in Brazil and Bolivia. Brazil increased yields 11% and Bolivia growth in area and yield increasing 46% the production. About meat production and cattle heads, it shows an increase in production meat of 11,100 tons, resulting in 5,000 headcount in the region. So in total 99,000 headcount in the regions. In Argentina 78,000, Brazil 15,000 and Paraguay 6,000 heads.Let's move to the page number nine, the investment in FyO. We can appreciate in this slide that our brokerage company continued growing regarding the commercialization of our most important products reaching a grain trade volume of 4.8 million tons. The market share is of 5.3% in relation to corn, 3% regarding wheat and 3% related to soybean. The operational results rose by 177% year-to-year, reaching ARS450 million. The net income increased by 231% in the same year, achieving ARS284 million. We are able to confirm that FyO's is the Argentina top grain broker.Let's go to the next page, the slide number 10 other agricultural investments. Concerning regarding Agrofy, the online business platform which we have 35.2% of equity stake, we can see growth according to plan due to the increments in visits and contacts. The fiscal year shows revenue of over 21%. Today, it is present in seven country in South America and by the end of the year we also include Colombia and New Mexico and have nine countries in the portfolio. The last one, the meatpacking plant facility, Carnes Pampeanas, has suffered small losses due to higher exchange in Argentina and slaughter of the record volume, 110,000 heads in the year, increasing export in different country and the net income loses of ARS90 million.Thank you all. And Matías will continue with the details.
Matías Gaivironsky: Well, thank you, Carlos. Going to page 11, we just had a conference call on year's result. So you have much more information in the website IRSA. So I will do just very quick summary. As Alejandro mentioned at the beginning, shopping malls lag inflation this year. Total metrics of consumption in Argentina lag inflation. So you can see that in the graph in the bottom left. The square meters in the malls remain stable at 332,000 square meters. We increase in offices to 115,000 square meters. And we will add 30,000 more next year with the opening of the Della Paolera 200. The occupations in offices in AAA remain very good at 97.2%. The portfolio decreased to -- or the total including the B portfolio decreased to 88.3%.So going to page 12, at our investment in IRSA. Here also you have much more information in the website of IRSA and the presentation that we just did in IRSA. Here we have basically two main challenges, one was related to concentration law. Here you have the structure of the company and in the blue part, painted in blue, you can see that that DIC, PBC, Mehadrin and Gav-Yam and Ispro companies that are affected by concentration law. So we sold most part of the concentration loss selling shares of Gav-Yam. So now we have only 35% of Gav-Yam. So we no longer control the company. With that, we are in compliance with the rule. Ispro, we also are in compliance with the rule. And we had a remaining challenge to sell before the year-end on Mehadrin. That is much easier to resolve than the Gav-Yam situation. So we expect to refine before December the structure. So we will be in compliance with the law by the end of the year.On the other side of the graph, on the IDB part, we have our investment in CLAL. You remember that we used to have almost 55% of the shares that we have been trying to avoid selling the economic rights on the shares. So we did some swap transactions. Now we have the 15.3% direct stake plus 20%. So we decreased from 55% to 35% our investment in CLAL. We did 5% through an exchange of bonds of IDB for shares that is implicit like selling the shares of CLAL at 90% book value. That is much better conditions than before. And the rest we enter in agreements with third parties to sell to basically two important families an stake of 5% and 8% and another 5% to a former CEO of one of the main insurance companies in Israel. So we believe that those disposals will help us also to improve the performance on CLAL and the valuation of CLAL. So at the end or recently, IRSA signed a commitment with IDB to inject $20 million that we already injected and then IRSA also committed to invest another ILS70 million by next year and then another ILS70 million in 2021. So the remaining commitments are $40 million that are subject to certain conditions. But if all the conditions are in place, IRSA is obliged to inject $40 million for the next two years.So let's move to page 14. So here we can see our financial results. So here we have the division between the agribusiness segment, the Argentina business segment that is basically the investment of IRSA and then Israel business segment that is our investment in IDB. So the net income was a loss of ARS28.5 million attributable to our controlling interest is ARS18.7 billion. When we analyze the result, the main effect of the losses is in the line 6. That is the change in fair value that you can see that in the agribusiness basically, we don't that effect. In Argentina business segment, we have a loss of ARS27 billion. This is basically how we value our investment properties in Argentina, the offices and malls. Offices are our value-add comparable value, so haven't suffered this year, but the shopping malls we value at DCF model and with the macro situation of Argentina and the increase of the cost of capital, we marked down a big impairment on our valuation to the NAV in dollar terms. We decreased from $1.4 billion to $800 million. So it's a big drop in the valuation. That is basically when you compare our net income with the change in the fair value, most of the loss is explain by this line.So if we move to page 15, we can see the performance on the operational side. And for us the most relevant figure is our adjustment EBITDA. And you can see by segments, the agribusiness, as Alejandro and Carlos explained, we have a record year, very good results in all the lines. So you can see an improvement. Remember that we have our figures adjusted by inflation. So even adjusting by inflation, we surpassed in all the figures in the agribusiness last year. So Carlos and Alejandro explained the reasons in each of the segment and in each of the lines. So if you want to enter in more details, you can see our press release.In the urban segment, as I mentioned, shopping mall decreased by 15% compared with the previous year due to consumption levels. Offices surpassed inflation by 116%. So much better performance. Here we have dollar-denominated revenue. So we have better results because of the devaluation. Hotels, also much better results with a dollarized tariff and cost in pesos. And sales and development dropped because of the last year we sold more properties than this year. So this is non-recurrent over the years. And the finally, the urban segments in the Israeli business center, we have the real estate that was 39% up. That is basically related to the recognition or the implementation of IFRS 15. So we started to recognize results on the development of the residential properties and telecommunications with an increase of 12.7% with a real devaluation between the shekel and the pesos of 22. So we are below the levels of the last year.Finally, in page 16, the other important effect is in the line of net financial results. So here we open between the different business segments. So in Cresud, we have better results. That is basically related to the line two, the net exchange differences. You can see in the graph on the bottom left that last year we had an evaluation of 74% with an inflation on average of 29%, so we have a real devaluation of the peso that generated the losses that is in the line two for ARS4 billion against a gain last year. Although we have a devaluation of 47%, since the inflation was 55%, we have a gain in that line of ARS970 million.In the line one, the net interest losses, we have higher losses because we are paying more interest because of the devaluation. So in pesos term, we are paying more. In IRSA is the same. The same effect in the net interest loss on the next exchange differences. So it is the same effect that is in Cresud. And finally in IDB and DIC or the Israeli business segment, we have net interest losses that increased by 11%, but remember that the devaluation was 22. So we are paying lower interest there because of the decrease in the cost of the interest and the cost of the debt and also reduction on the debt. And then, the line three, that is the swap that we did in debt of DIC last year that we had losses last year because of that and refinance of debt or the issuance of a new bond and canceling an existing bond that we recognized at a loss of ARS4.3 billion last year. And the last one is related to the evaluation of CLAL shares that you can see in the line four. This year, we are recognizing a gain and you can see the graph that this year increased by 20% by the end of June and a reduction of 14% in the last year that is the loss that you see in the line four of ARS2.7 billion.So other important financial event of the year was the share buyback programs. We did three buybacks during the year. One was at the beginning of the fiscal year that we finished and then two new ones this year that we bought around $8 million and $7 million in each of the buyback programs. And now we approve a new buyback program of up to ARS300 million that was recently approved. So we haven't acquired shares in the market yet but is approved by the Board.Finally in page 18, we have our debt situation. So Cresud net debt is today $436 million and the debt amortization scale that we have the debt that expire between this fiscal year up to 2023. Something that we did during June was to issue a new bond at Cresud level to refinance part of the short term to 2021. So we will keep working to refinance this year payments.So with this, we finish the presentation. Now we open the line to receive your questions.
Alejandro Elsztain: We are finalizing the year that was very good in the production side of the agribusiness segment. We are keeping the size increasing for next year a little the site of plantation for the region,. And the company intends to keep the real estate working a lot the year too, selling and buying again. So in small portions as we did last year, selling hundred acres or thousand acres in Brazil or in the region. So the company is very happy of the results on the agribusiness and in the rest, a lot of challenges in Argentina and in Israel related to the real estate that they are being addressed. So we expect not to have impairments like this year that affected a lot mainly in the case of the shopping center segment. And we are going to keep developing the things that we are doing, the office building that we are finishing all over the world. Thank you very much and have a very good day. Bye.
Operator: Thank you. This concludes today's presentation. You may disconnect your line at this time and have a nice day.